Operator: Good day, and thank you for standing by. Welcome to the Q2 2025 Pitney Bowes Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Alex Brown, Director of Investor Relations. Please go ahead.
Alex Brown: Good afternoon, and thank you for joining us. Included in today's presentation are forward-looking statements about our future business and financial performance. Forward-looking statements involve risks, along with uncertainties that could cause actual results to be materially different from our projections. More information about these items can be found in our earnings press release, our 2024 Form 10-K and other reports filed with the SEC that are located on our website at www.pb.com and clicking on Investor Relations. Please keep in mind that we do not undertake any obligation to update forward-looking statements as a result of new information or developments. Also included in today's presentation are non-GAAP measures. Specifically, EBIT, EBITDA, EPS and free cash flow are all on an adjusted basis. You can find reconciliations for these items to the appropriate GAAP measure in the tables attached to our press release. We have also provided a slide presentation and a spreadsheet with recast historical segment information on our Investor Relations website. With that, I'd like to turn the call over to our CEO, Kurt Wolf.
Kurt Wolf: Thank you, Alex, and thanks to everybody joining today's call. I'm here with Paul Evans, our newly appointed CFO, who will also participate in today's Q&A. A few quick comments on our new CFO. Paul has prior experience as a public company CEO and CFO and knows Pitney Bowes extremely well due to his previous service as a Board member, Audit Committee Chair and Value Enhancement Committee Chair. It's rare that a Board member is willing to give up their seat to take an operating role, but Paul sees the same opportunities that I do and was eager to roll up his sleeves and get to work. Paul and I have a great history of working together, dating back to our days on the GameStop Board during that company's turnaround. We had tremendous success working there together, and I'm incredibly excited at the prospects of what we can do at Pitney Bowes. A quick note on the changes we've made to our earnings process. We are now issuing a short CEO letter to accompany our press release. This provides you with immediate context alongside our earnings press release rather than making you wait to hear prerecorded commentary. This saves you time and will provide more time for questions, the latter of which is important as we are optimistic that we'll see significant growth in our research coverage over the coming months. Finally, this is a much more efficient process. And as with all things at Pitney Bowes, I'm striving to instill efficiency as a guiding principle of everything that we do. Next, I'd like to briefly touch on a few highlights from the quarter. Our businesses continue to drive significant earnings and cash flow growth on a year-over-year basis. We continue to honor our commitment to return capital to shareholders by almost exhausting our $150 million share repurchase authorization and by increasing our dividend by $0.01 for the third quarter in a row. Additionally, the Board has increased our share repurchase authorization to $400 million. Given our strong free cash flow, liquidity position and increased financial flexibility as a result of our adjusted leverage ratio now being below 3x, we are comfortable with our ability to aggressively repurchase shares at prices we believe to be attractive. During the quarter, we initiated the first phase of our strategic review, which is focused on internal improvements. This has yielded numerous opportunities for value creation, and I look forward to speaking about them on future calls. I'd like to conclude with an update on full year guidance. We reduced our revenue guidance range by $50 million, tightened our EBIT margin range by bringing down the high end of our range, reiterated our free cash flow guidance and increased our EPS range by $0.10. The reduction in revenue guidance is largely due to decisions by prior management to accept customer losses rather than offer price concessions to at-risk Presort customers. These concessions would have allowed us to keep these customers, albeit at lower margins. I'm incredibly frustrated with this unforced error, and we have addressed the issue. Reduction in the top end of our EBIT guidance is driven by the aforementioned loss of Presort customers, partially offset by continued improvements in execution across the entire organization. The increase in EPS is largely driven by our ongoing share repurchases. That concludes my comments. And with that, operator, please open the line for questions.
Operator: [Operator Instructions] And our first question comes from the line of Kartik Mehta of Northcoast Research.
Kartik Mehta: Kurt, just going back to your comments on -- and execution of the share buyback. Obviously, you bought a significant amount of shares in the last 120 days. And I'm wondering, with the new authorization, do you intend to continue buyback in 2025? Or is this -- you want to wait, make sure -- see how the business is performing, see what free cash flow is, before reengaging with the buyback?
Kurt Wolf: Yes, Kartik, thank you for the question. What I can say is, obviously, we can't really comment on future activity and purchases in the market. What I can say is I think the rate at which we've been purchasing shares historically, the prices at which we've been purchasing them says something about where we see value in the company. I'd also point to the incentive structure that I negotiated for myself, which is based almost exclusively on options that don't begin -- don't have strike prices of 12, 14 and 16. So you have some idea of where I see value in the company. So I can't comment on what we will do, but I can -- I'm sure you can infer from all of that maybe where we see value in the company. I'd also highlight that, again, with us getting under a 3.0 leverage ratio, we now have increased access to our -- to restricted payments. And then even if we go back above that 3.0, the fact that we've gotten below it, essentially replenishes all of those baskets. So even if we weren't below -- if we didn't have the unrestricted access for being below 3.0, we still have roughly $300 million in those baskets that we can use.
Kartik Mehta: And then, Kurt, just on the strategic review, obviously, you've been undertaking that for a while, as you said, since you became CEO. Obviously, new CFO in the fold. And I'm wondering, does that change the timing at all for the strategic review? And if not, any commentary on when you think that might be finished and -- you might be finished with the process?
Kurt Wolf: Yes, Kartik, so on that -- so what I would say is, I think Paul, hopefully coming in accelerates, not slows down any sort of review. Paul and I have a great working relationship. Paul has been on the Board for 9 months and been heavily involved. So he knows the business very well, which is atypical for an incoming CFO. And again, as I said, we work incredibly well together. As far as timing, we've conveyed it as a 2-step process -- the first step in the process is an internal review. And after we've completed that, we'd move on to the second half of the process. And we're being incredibly thorough during this first step of the process. As I've highlighted, first of all, 2 things I would say to that. One is as we're going through this, we're finding numerous opportunities to create value for shareholders. So that's a great outcome of the process. And second of all, what I'd highlight is we all need to learn from our mistakes and pointing to GEC as an example, that was a situation in which I would point to 2 problems we had in trying to grow that business. One, I don't think we operated efficiently enough as an overall company to be competitive in the logistics space. So one of the things we need to address regardless of how the second half of the strategic review goes, we need to get far more efficient in how we operate and effective in how we operate. Secondarily, when we made that decision, part of the thinking, as far as I understand it, is that we would be able to take advantage of shared transportation between the 2 businesses, between Presort and GEC, and that turned out not to be the case. So before we make any decisions, a, we need to figure out how we operate as effectively and efficiently as possible. And we need to understand our business to a level of granularity that we don't make any mistakes when we are determining how we're going to proceed or what is ultimately in the best interest of shareholders with respect to the company. As far as the timing question, realistically, my guess is that the internal review will probably continue throughout the remainder of 2025. And then the more fulsome review would begin at some point in 2026.
Kartik Mehta: Perfect. And then just one last question, Kurt. Just on the Presort business, it seems like you're taking a little bit different strategy than previous management, as you indicated. Is the thought that maybe if you go after some of these larger customers with lower EBIT that [ fell ] pressure margins? Or are there opportunities to take cost out either through automation or other ways and be able to maintain margins in that business?
Kurt Wolf: Yes, and absolutely. So I guess what I'd say is there's 2 ways to look at it. One is margin and one is dollars. To me, the most important thing is dollars. If we give up some percentage margin as long as our EBIT dollars are going up, that's a win for everybody. And as far as what the opportunity is, I guess what I would highlight -- and I understand different perspectives on this issue. Just what I would point to is we have a tremendous operation. We have a leader, Debbie Pfeiffer, who is -- we believe is peerless in terms of her ability to drive an efficient organization. I think our belief, and we have a lot of data that we look at, we believe we're the most efficient player in the space. We believe that we get mail to customers typically faster than many of our competitors. We believe our service levels are at the highest level. So when we look at it, if there's a customer that we can't serve profitably, we don't think there's anybody else that can serve profitably. So from that lens, there's not a customer that we shouldn't be able to get. So there were situations in the past. And again, I understand different perspectives. Personally, I don't agree with the thought was that we were going to maintain our percentage margin. And unfortunately, we lost some large customers that we, to my understanding, could have kept at a profitable level. It just would have maybe brought our margin percentage down even though it would have been additive to revenue and to actual EBIT dollars.
Operator: And our next question comes from the line of Anthony Lebiedzinski of Sidoti.
Anthony Chester Lebiedzinski: So first, on SendTech, in previous conference calls, you guys had talked about the shipping subsegment within SendTech, how that's grown. Can you give us an update how that's tracking so far this year? And how do you see that shipping subsegment doing for the balance of the year?
Kurt Wolf: Yes. Anthony, yes, so just to be -- I'll answer the question, but just something that everybody should be aware of, we did a recast of our shipping segment. And what this involved is, as you recall, when we exited GEC, there was one piece of business that was profitable that is shipping related. Unlike our core -- and going forward, we'll talk about core shipping and just shipping overall. And what the difference will be is that overall shipping will be core shipping plus this one relationship that we have in the shipping space. This business actually handles packages. It's not a software business. So it's very different than our core software -- our core shipping software business. So if you look at the overall shipping revenue, it was actually down 2.5% year-over-year for the quarter. However, that was due to significant declines in the noncore part of the business. If you strip out that one customer and that one relationship, which we'll continue to do on a quarterly basis, if you strip that out, we had 6% growth. It's not where we want to be. We're driving to make sure we're at double digits every quarter, but we did come in at about 6% year-over-year growth for the quarter.
Anthony Chester Lebiedzinski: Got you. Okay. All right. So as far as that, I was more kind of interested in that SaaS piece, shipping as a software. So in terms of that business, do you still have a positive outlook on that, how that's going to grow going forward?
Kurt Wolf: Yes. No, the SaaS business continues to do very well. The growth there -- and do you have the number? Yes. Okay. Yes. So -- sorry, on the SaaS -- just for the SaaS business itself, that was up 17% year-over-year for the quarter. And again, we expect that to continue to outpace the underlying core shipping revenue.
Anthony Chester Lebiedzinski: Got you. Okay. All right. And then in terms of the Presort, so in your letter, you talked about reversing the losses. Have you already been able to do that so far in the third quarter? Or is this more of an expectation that you think you will be able to reverse the customer losses?
Kurt Wolf: What I would say is I think we're very close to starting to reverse some of those losses. But to this point, we've not reversed any of it yet.
Anthony Chester Lebiedzinski: Got you. Okay. All right. And then the prior CEO was open to doing acquisitions in Presort. What is your view on that strategy?
Kurt Wolf: I mean it's unbelievably attractive. And we're constantly scanning the horizon for opportunities. As -- I think, every CEO has mentioned, these acquisitions are completed at very low multiples. And then when they're brought into our system, as I mentioned, the level of efficiency we have is peerless in the industry. So that profitability shoots up significantly. So they're just incredibly accretive to the business, and we continue to pursue them at every chance we get.
Anthony Chester Lebiedzinski: Understood. Okay. All right. And then just lastly, I guess, more of a housekeeping question here. So in terms of your increased EPS guidance, what are you guys assuming for the diluted share count for the back half and for the full year?
Kurt Wolf: Yes. I don't want to give that simply because it would certainly give some sense of where we are or where we think we may be in terms of share repurchases. But if you take our EBIT guidance, apply an assumed interest rate, assumed tax rate and then look at our EBIT guidance versus our EPS guidance, that should probably give you some sense of where we might be on a diluted share count, but I don't think we...
Operator: And our next question comes from the line of Matthew Swope of Baird.
Matthew Warren Swope: Kurt, could you talk about the management changes that have gone on? I think everybody has been a bit surprised. I mean we knew you were deeply involved, but to see you step into the CEO role after Lance was made permanent in October. And then I know Bob was just made permanent in February. Are the management changes tied to sort of the unforced errors you referenced? Or could you just talk more broadly about that and sort of how we think about the management stability going forward?
Kurt Wolf: Absolutely. Yes. So 2 things I'd say on that. And I'll just address the most recent change. The Board can speak to -- not to -- the Board could speak to the change in CEO. With respect to the CFO position, this in no way -- the change in no way reflected on Bob. He's an excellent CFO. Just -- it's not often that I feel like we have an opportunity to bring in a talent like Paul. And I think as you guys talk to him in the coming quarters, and I'm sure he'll -- if there's any questions in his wheelhouse, I'm sure he'll get to them today. It's not often we have an opportunity to get somebody like that into the organization. He and I have worked together for 5 years. We have a tremendous working relationship. We have the same values. We have the same focus within running a business in terms of creating urgency, creating discipline, data-driven decision-making, et cetera. So it was just -- it's really a comment on the opportunity that we had to bring somebody of Paul's caliber. And as I'm sure all of you can imagine, it's not often that a Board member gives up a Board seat for an executive role. But I think -- and I don't know if Paul wants to speak to it after this, but there's a tremendous opportunity. I think, Paul sees it as well. But -- and then the other thing I would just say before Paul maybe talks about what he's seeing. I would just highlight that change has been a huge catalyst for value creation at Pitney Bowes. And again, I know corporate America typically operates at a certain pace. My operating background was all at start-ups. So the rate at which I work, the rate of change at which I -- that I pursue is very aggressive. And any time there's an opportunity to create more value than the disruption causes, we're always going to seize that opportunity. So I'd like to think that every change we've made has been significant value creation. But I do recognize that people see a lot of change, and that's maybe not typical. But with all that said, again, I really think it would be great for Paul to talk about it because what he's done, I think, is pretty unusual and really speaks to the opportunity at Pitney Bowes.
Paul Evans: Matt, nice to meet you over the phone. Yes, look, as I sat on the Board, and I've been on the Board for 9 months, and I was the Audit Chair and then the EC Chair, and so I was deeply involved. And at heart, I'm still an operator, and I saw an opportunity to come alongside Kurt again and with an incredibly supportive Board and an incredibly talented management team, it seemed to be an easy decision for me and all the things that the company has in front of them, it's something that's in my wheelhouse to do. So I'm just really glad to be here and to accelerate returning this company to where it should be.
Matthew Warren Swope: That's helpful, Paul. Nice to meet you as well. Kurt, do you guys -- do you see you and Paul in these roles for 2 years, 3 years? And I know it's hard to predict the future, but is this a permanent thing? Or is this a temporary sort of fix?
Kurt Wolf: Yes. So Matthew, I can speak for myself. Paul can speak for him. I will serve as long as the Board and I both all agree that I'm the best person for the job. As you know, and probably everybody on this call knows, I have a tremendous amount of money invested in this company. There's nothing more important to me financially as well as just emotionally. And just from a commitment to success than seeing this company be successful. I'd like to believe that today, I'm the right person for the job. I'm committed to it as long as I am the right person. If the path that we end up on is not suited to my skill set, then we'll bring in somebody who's better suited to run the company. But for now, everything I've seen that there's -- I'm committed as long as I'm the right person.
Paul Evans: Again I guess, to speak for myself, I don't have an end date. I'm going to be here until the job is done. And I don't think the job is ever done. So as long as the Board will have me and Kurt will have me, I will be here.
Matthew Warren Swope: I appreciate both of those. And Kurt, I will say I do absolutely admire how much difference you have made in the company, how much -- and very much respect how much you have invested in the company. You have absolutely put your money where your mouth is. Can I ask, as you go through the share buyback process, are you selling any of your personal shares or Hestia shares into the buyback?
Kurt Wolf: Yes. So what I can say on that is any shares that I would execute would be filed by Form 4s. And I think it's been quite some time since any Form 4s have been filed. So I think it's pretty safe to assume that shares haven't been sold. Yes. And I would just highlight as well that I did have a 10b5-1 in place, and that did expire. So at this point in time, I do not have a 10b5-1 in place for myself or for Hestia.
Matthew Warren Swope: Got you. Very helpful. And maybe I will take advantage of Paul's presence on the call as well. And I'll put on my debt hat for a second. And I was reading through and Kurt, in your letter when you talked about the potential refinancing of the bonds and the 2027 notes, in particular, not becoming callable at par until March of next year. Can I just ask how you guys are looking at as the high-yield market is as wide open as I've seen it for a while? We're seeing lots of deals get done right now at levels that people didn't foresee as possible before for whatever the call premium is right now, 1.7 points or so. Do you think it might make sense to refinance those bonds earlier than that call date and maybe you would make up more than the savings on the coupon that you might get by refinancing in such a hot market?
Paul Evans: Yes, I'll take that. Of course, we're going to look at that. Look, I mean, my charge is I want to look at the -- what's our average life of our debt, what's the coupon on our debt. Obviously, there's still some remnant restrictions that we need to clear ourselves to get back to the normal company that we are. So obviously, we're looking at our RCF, our TLA, our TLB, the [ 27s. ] I mean we have the liquidity, we could pay off the 27s. And we'll balance that against what's an appropriate level of leverage that a company like this should have. But I mean, obviously, you can see that we're generating a significant amount of free cash flow. And so it's a good option to have. But we're certainly -- how you described it, is in our thought process.
Kurt Wolf: And just to add to that, Matt. No, no, just to add to that. And this is one of the reasons I really appreciate joint working with Paul is, we see things very similarly and play off each other very well. Retiring debt and issuing debt don't necessarily always have to coincide. So just because we're not currently contemplating calling the debt or potentially paying it off previously, if there's a timing mismatch, Paul and I have already been through if there's a timing mismatch in terms of the raising and potential raising and payoff of debt or the -- I'm sorry, the call provision going away. We're very, very value-driven, and it's just a simple mathematical calculation of what do we get on our cash, what are we paying up? And then what are we avoiding in terms of interest premiums or payments, and it's a pretty simple calculation of, at what price would you buy back your debt. But -- so hopefully, that makes clear how we're thinking about it as well.
Matthew Warren Swope: No, that's helpful. And maybe just one last one for me. You've been -- congratulations on getting to the 3x earlier than you said you would. You mentioned it in your comments today. And it sounded like you might be comfortable going above 3x leverage again. Can you talk about that? How much higher above 3x would you be comfortable going? Would that be a new higher level? Would that be for a temporary either acquisition or share buyback opportunity? How do -- I know Paul is brand new or at least new in this seat. How do you guys think about where leverage could go from here?
Paul Evans: I mean, look, philosophically, could we go higher? Sure, we could go higher. But to go higher and not have a use of that is not the best thing. We don't want to sit it on the balance sheet a bunch of negative ARBs that we'll deal with. But we clearly could go higher. And your idea, your suggestion, would you go higher if there was an accretive acquisition in front of us? Of course, we would. But right now, we're sort of staying around the 3x.
Kurt Wolf: And Paul and I have had this discussion as well. I think everybody at this company believes we could carry significant -- not significantly, we could carry a ratio above 3.0 in terms of our leverage ratio. We think it could be higher. But we recognize that us believing it and the market believing it are 2 different things. And we have to be cognizant of the market and what the market wants. So while we believe we can run at a higher level, we need to get the market to understand and see what we see and get confident in the future of the company, which also includes getting to revenue growth. And I think, we're confident we'll get there. And once the market sees that, I think the market will be much more receptive to us going above that 3.0. And at that point, we'd more consider -- we'd be more serious considering maybe increasing. But at this point, we want to be sensitive to the market and what opportunities the market presents.
Operator: And our next question comes from the line of David Steinhardt of Contrarian.
David Steinhardt: Paul, welcome to the company. Well to the CFO role. I'm sure you've been instrumental as a Board member. In the early innings of the strategic review, how do you see the Presort business and SendTech business working hand-in-hand with each other? Are they potentially distinct businesses? Or do you still see benefits in them operating together under the Pitney Bowes roof?
Paul Evans: I think I'll take a shot at that as somebody who's just come off the board into management. And so holistically, I see an opportunity how they can complement each other. And so I don't think that, that value has been recognized in our stock price. And so there's definitely things to do there. So I come to the table with those ideas, and Kurt and I will work with the team on how to optimize those businesses. Kurt?
Kurt Wolf: Yes. And I guess I would just add to that, at least from my perspective, half of my background is an entrepreneur. As an entrepreneur, you're constantly looking for opportunity. And I think we've uncovered a lot of opportunity for synergies between the business, whether it's cross-sales. One example, GFS potentially could offer value to Presort customers. That's not something we've historically done. But the other half of me is an investor, and I have seen a lot of companies think they're smarter than the market, think that they can do things that aren't necessarily easy to execute. So I've been burned as an investor when companies don't know what they're doing and get ahead of themselves and get over their skis. So I think we see a lot of opportunities to further create value between the businesses. But at this point, there's nothing significant that we're -- we're evaluating, but there's nothing significant on the horizon in terms of actually, execution.
David Steinhardt: Understood. And this is more of a housekeeping question. In terms of the repurchase authorization, increasing from $150 million to $400 million, is there an expiration in mind for that authorization?
Kurt Wolf: Yes. I don't think there's any expiration tied to it.
Operator: [Operator Instructions] And our next question comes from the line of Justin Dopierala of Domo Capital Management.
Justin Robert Dopierala: Kurt and Paul, congratulations on your appointments to CEO and CFO. It's fantastic having the GameStop dream team back together.
Kurt Wolf: Thanks, Justin.
Justin Robert Dopierala: I have several questions. But first of all, I just want to commend you on the very aggressive share repurchases that have been made as well as the new plan you've announced. I mean this is exactly what shareholders have wanted and speaks to how important it is to have a CEO that's a large shareholder so that everyone is appropriately aligned.
Kurt Wolf: Yes. [ I know. ] Thank you.
Justin Robert Dopierala: Kurt, in your letter to shareholders, you mentioned expanding the coverage you received from research analysts. I'm just wondering if you can provide some additional commentary around the importance of that.
Kurt Wolf: Yes, I appreciate the question. As you can imagine, we already have several companies covering us, and we really value the coverage. But we believe we're doing something really special at this company. And right now, we have 3 or 4 analysts covering us who can kind of spread the word. But the more we can grow that, the more people get to hear exactly what it is that we're doing, and it just facilitates. I think of it as a sales funnel. In order to get an investor into the stock, first, they have to get that first level of interest and want to put the time in to understand the company, having as much coverage as we can, it's just more opportunities for people that are looking at us when we cross the screen to reach out to somebody and get an initial understanding to decide if they want to delve further into it. And I think it's particularly important for us because we are a bit of an anomaly in the stock market or a bit of an orphan, which I think leads -- I think it's great because it leads to undervaluation and we can buy back stock. So it's great in that perspective. But at some point, we do want full coverage of the company. And when I say we're an orphan, of course, we don't have direct competitors to speak of, certainly not in the public market. So having that coverage just really helps attract people to at least spend the time to get to know the story. And we're convinced once people understand the story that they'll be very interested in investing. So we think it's really important for us.
Justin Robert Dopierala: It makes a lot of sense. I know you haven't provided 2026 guidance, but is it safe to say that free cash flow of over $300 million a year going forward is sustainable?
Kurt Wolf: Yes. I mean, we don't want to comment on that. We have -- we're very confident in the business, but we haven't -- we don't give guidance that far in advance, but I do appreciate your question. But no, it's not something we're answering at this time.
Justin Robert Dopierala: All right. And I know in the past, you've talked about getting upgrades -- credit rating upgrades. Is that something you see as likely in the foreseeable future?
Paul Evans: I mean, look, we're certainly going to go meet with the agencies. Obviously, they're lagging on our performance, and we'll talk to them about that. And it's always helpful. It's not mandatory. We get to investment grade, but it's certainly helpful with some. But -- and I bring a lot to bear on that back to my time at NRG in the '90s. So I've got a long track record with them. And so I look forward to sitting down with them and telling them why they're lagging on our rating.
Justin Robert Dopierala: Got it. I know, you guys have talked a lot about Presort and what happened during the quarter. I just want to ask, can you confirm that there's no signs of structural weakness in the business at all there?
Kurt Wolf: Yes. I mean, I guess what I can say is we obviously don't share internal numbers. I would just say that I believe about 90% of the reduction we see is tied directly to Presort, which is almost entirely driven by competitive losses that we otherwise could have kept. So again, like I said, it's incredibly frustrating. This was an unforced error. And were it not for that, we would not be changing our revenue guidance, and then our EBIT guidance as well. We did -- we've been doing a great job driving efficiencies throughout the organization. Clearly, these would have been yes, it was -- clearly, those might have been at lower margins, but they still would have generated EBIT. So it really was an unforced error. And again, Presort -- Presort as well as SendTech are incredibly strong businesses, the margins, the profitability, our ability to compete. And again that and -- over time, we really want to introduce our business leaders to the broader investment community. We think we have some great leaders, Debbie being amongst them. She's going out and going and pounding the pavement trying to win back customers and also gain new customers. And again, the one advantage we have for us is we're essentially the low-cost provider in the system, so -- or in the industry. So if we're aggressive on sales, we should be able to continue to take share.
Justin Robert Dopierala: Got you. And then this last one is a little bit longer. I don't know if you'll be able to answer it, but I did see some kind of commentary in your letter as well. But I guess, long story short is -- there's some local news today in Milwaukee with Harley-Davidson doing a strategic partnership with KKR and PIMCO, which sent their shares rocketing higher. They're unlocking over $1 billion of cash by transforming their Financial Services business into a capital-light financing business. And what they're doing is selling the existing and future retail loans, but they're not giving up control. So the Harley-Davidson Financial Services segment seems to have a lot of parallels with the Pitney Bowes Bank. I don't know if you've seen this yet or are able to answer, but I was just curious if you think you'd have a similar opportunity to unlock value in the same way for Pitney Bowes Bank.
Paul Evans: What you've hit on is one of the reasons I wanted to come alongside Kurt. I think, it's an incredibly undervalued asset and the opportunity we have to bring value to our shareholders. Yes, I mean, that's a template that you have out there, and I'm sure folks will be calling us on that. So we're aware of it. We're studying it. And I would just say, just stay tuned.
Kurt Wolf: Any more questions, Justin or… Okay. Great. All right. Well, at this point, I don't see any more questions in the queue. So we'll just wrap it up. And I'll just end by saying, again, I -- my first 70 days at Pitney Bowes have been fantastic. Some of the things I've learned is we have an amazing team here. I always knew just how great our businesses were. Again, I think they're very underappreciated for the quality of the businesses. But it's become even more apparent just the quality of the team here. And as we continue to build the leadership team here at the company, I think -- and we continue to push hard on -- pushing through change, driving growth and really moving the company forward, it's just incredibly encouraging just the commitment that our employees have to the company, which is, I think, pretty unique. As an ex-consultant who worked at a lot of companies. It's rare that you see a company that has employees that this dedicated to the company. So I'm incredibly excited for us to be able to talk to the employees about here's our path forward because it's a group of individuals that once they know what it is that we're going out to do, I would put them up against anybody in terms of willingness to do the hard work for the good of the company. So I think all shareholders should feel very encouraged that they have such a great group of employees at the company that they are owners of. So thank you, everyone.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.